Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lundin Mining Second Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Marie Inkster, President and CEO, you may begin your conference.
Marie Inkster: Thank you, operator, and thank you everyone for joining Lundin Mining's Second Quarter 2019 Results Call. I would like to draw your attention to the cautionary statements on slide two, as we will be making several forward-looking comments throughout the course of this presentation and most likely in the Q&A as well. On the call to assist me with the presentation and answering questions are Jinhee Magie, our Senior Vice President and Chief Financial Officer and Peter Richardson, our Senior Vice President and Chief Operating Officer. Before I turn the call over to Jinhee to run through our financial results, I’d like to touch on a few highlights for the quarter. We are pleased with our overall operating results, although our financial results were negatively impacted by volatile base metal prices. Our mines are achieving operational performance and [Indiscernible] for their plans and we are well positioned to deliver a very strong second half to this year. Following continuous close monitoring and The Zinc Expansion project, we have revised the schedule and capital cost estimate. Commissioning is still expected to commence in the first quarter of next year, though under a phased ramp up plan towards full processing rate, full production rates and anticipated by the end of 2020. Effectively, doubling the zinc production at Neves-Corvo and we will have detailed discussion later on in the presentation to review the update and our actions taken on the project this quarter. Progress developing Eagle East remains ahead of the original schedule and we are on track to see first ore to the mill in the fourth quarter. We had another successful quarter advancing our low risk, high return initiatives at Candelaria. These remain on budget and on schedule to be completed by the end of this year. Further, with the ramp of the underground mine production and more ore being sourced directly from the open pit, copper grades and production are to increase in the second half and into 2020. Lastly, while Chapada closing post quarter we were working hard during the quarter to close the acquisition and for planning for the integration. With our quarterly results, we have provided guidance for the operations through the remainder of 2019. Chapada brings high quality, long life; expandable copper production at attractive cash cost and strengthens the quality of our base metal mine portfolio. With that, I will turn the call over to Jinhee to highlight the second quarter financial results. Jinhee?
Jinhee Magie: Thanks, Marie. Looking at the summary of our results, our operations in aggregate produced over 96,000 tonnes of base metals in the first quarter. We sold over 91,200 tonnes of payable base metals generating total revenue of $369 million. We caught up on nickel concentrates sales at Eagle in the second quarter following the severe winter weather conditions in the Upper Peninsula during the first quarter, which had delayed shipments. The $359 million of revenue reflects provisional pricing on current period metal sales as well as significant net debt adjustments for prior period sales. The adjustment for prior period sales alone had a negative impact of nearly $36 million or $0.05 per share on reported revenue in the second quarter. We remain predominantly leveraged to copper. Copper generated 52% of our revenues in the second quarter, while zinc contributed 16% and nickel 9%. Slide five presents a summary of the quarter’s financial result, the details of which are in our financial statements in MG&A issued last night. Second quarter revenue was lower than the same period in 2018 mainly due to lower metal prices and price adjustments as well as higher treatment and refining charges resulting from the finalization of 2019 at contractual terms. Gross profit was negatively impacted by higher production cost and depreciation expense, particularly at Candelaria where we had begun to amortize the capitalized cost of Los Diques, our New Mine Fleet Investments and Deferred Stripping cost of an Open Pit Phase 10. Attributable net loss from our operations was $0.01 per share. We generated $205 million in cash flow from operations during the quarter and operating cash flow before non-cash working capital adjustments of $50 million or $0.07 per share. Second quarter capital expenditures on a cash basis were $179 million. Our Board of Directors approved our regular quarterly dividend of C$0.03 per share for an annual dividend of C$0.12 per share. We ended the quarter with approximately $735 million in cash and equivalents and roughly $660 million of net cash, considering $40 million of long term leases as well as a $35 million term loan financing at Candelaria. Subsequent to quarter end, we announced the successful closing of the Chapada acquisition. The $800 million paid on closing was financed by $515 million cash on hand and a $285 million draw down on a revolving credit facility. As of July 24, 2019, we had net debt of approximately $170 million. I will now turn the call back to Marie to discuss their operations and projects.
Marie Inkster: Thanks, Jinhee. Candelaria performed well in the quarter. Maintenance downtime for segment [ph] realigning and other work impacted mill throughput. The overall tonnes processed was close to our plan. The average copper head grade improved materially over the first quarter at its first Open Phase 10 of the Open Pit was processed during late stage development of the push back. Ramp up of the Candelaria north sector underground mine continues well and is achieving a current production rate of approximately 10,500 tonnes per day. The overall copper head grade is expected to increase in the second half of this year, as production ramps up from the Candelaria underground mine and more ore is sourced directly from the open pit. The new mine fleet equipment delivery is well underway. Overall, the investment program is 87% complete with 74 of 85 pieces of equipment being placed into operation. Essentially, all of the remaining equipment is to be delivered in 2019. 2019 CapEx guidance for their fleet reinvestment is unchanged at $75 million. The mill optimization project is progressing on track for completion by the end of the year to approximately 53% of construction work completed to date. Construction continues to be undertaking during planned maintenance downtime so as to not impact production. The primary crusher sub project is now complete with the replacement motor installed and the new electrical room energized early June 2019. The first ball motor replacement has partially arrived on site. The second is to arrive mid-August and all new cyclone feed pumps motors are onsite. The 2019 CapEx guidance to complete the mill optimization is unchanged at 50 million. Similarly the development of the Candelaria cell sector underground mine is progressing well with a projected production startup date by the end of the third quarter 2019 on budget. Candelaria is on track to achieve annual production and cash cost guidance of 145,000 tonne to 155,000 tonnes of copper at 160 per pound. Significant progress was made advancing our growth projects, and I'm confident that Candelaria is set for a strong second half of the year. We are well positioned to deliver 30% production growth from Candelaria by 2021 with improving cash costs, medium term annual production is forecast to average over 180,000 tonnes per annum over the next 10 years. On slide seven, Neves-Corvo had a good operational quarter. Copper production was affected by lower than planned head grades as we processed more lower grade copper stock records relative to the higher grade massive sulfide ores than planned. The C1 cash cost of $1.88 per pound copper was higher than the prior year period, and the first quarter of 2019 primarily on lower zinc byproduct credits and lower copper sales. We have lowered the annual copper production guidance range given production in the first half of the year, and the planned copper head grades for the remainder of the year. Overall operating costs in the quarter and year-to-date on a U.S. dollar per tonne mill basis has been better than planned. We have reiterated Neves-Corvo’s annual cost guidance of $1.70 per pound of copper despite expecting a slightly lower couple copper production number than previously planned. As previously mentioned, following continuous close monitoring of the zinc expansion project, we have revised the schedule and capital cost estimate. We have been actively monitoring and regularly updating the cost schedule estimate cost -- cost and schedule estimates to forecast costs and completion dates. Commissioning of surface facilities is still expected to commence in the first quarter of 2020 though under a phased approach ramp up is expected to take several quarters with full throughput rates expected by the fourth quarter of 2020. Commissioning of the underground crushing and conveying systems is expected to occur during the second quarter of 2020, when first ore is to be fed to the new plant. As a result of the schedule revisions and the phased approach, zinc production guidance during the ramp up in 2020 is now expected to be between 90,000 and 100,000 tonnes from the previous outlook of 120,000 tonnes to 130,000 tonnes. Proper production guidance is unchanged. Total preproduction project costs are estimated to be €360 million or $430 million up from approximately €305 million in our previous guidance. The €55 million increase includes, seven million for an underground paste backfill expansion that was not included in the initial project scope, €10 million of potential contractor claims for surface delays and time extensions, €10 million of owners and indirect costs on schedule delays, and €28 million of undrawn contingency which represents 15% of remaining estimate of the capital spend. Capital spend for 2019 has been reduced to $140 million or €120 million and that is from the previous estimate of $210 million or €170 million. And that work will be deferred to 2020. I'll now turn the call over to Peter to walk through the zinc expansion progress and project management changes in a little more detail. Peter?
Peter Richardson: Thanks, Marie. To your comment, we have made good progress advancing the underground aspects of the ZEP since earlier this year. Earlier in the quarter, we changed the management reporting structure of the ZEP project integrating and reporting it into operation. The underground project development now reports into the Neves-Corvo mine manager. This has led to a more integrated approach, enabling much better coordination and scheduling, reducing congestion and interferences, between the project's ongoing requirements with the operation. Underground works are now approximately 70% complete and have been achieving planned advance rate since earlier in the year. Slide eight shows some of the progress achieved underground. Underground development of the materials handling ramps was completed in the quarter. Civil, mechanical and electrical installation of the crusher and the colliers are well underway. Concrete work progressed well throughout the quarter, including for ore storage silos as can be seen in the photograph on this page. Mine development of the lower zinc or stopes is well underway with the first sublevel accesses established in the lower first sublevel accesses established in lower Lombador orebody. Surface Construction has continued to be impacted negatively by engineering and construction delays, and lag targeted advancement rates. During the second quarter, we changed the management reporting structure of the surface project development to be directly into their managing director of the Neves-Corvo, and brought in the new service construction manager. The intent, similar to what was achieved underground and elsewhere is to enable much better coordination and scheduling removing interferences and completing -- competing interests of the project works with Operations. In addition, we are drawing on more of our internal engineering expertise from other sites, but people have recent success integrating project with operations. Surface construction in the second quarter focus on mechanical installation of the surface material handling system, as well as continuing construction of the SAG mill, flotation equipment, tailings and water supply piping system and a new paste as can be seen by the photographs. In summary, we continue to make meaningful progress on the ZEP and believe recent changes made in the surface construction management approach position us to make further improvement. Commission is expected to commence in the first quarter of next year with a phased approach and ramp up to full production by the end of the year. I will now turn it back to Marie to go through our remaining operations and projects.
Marie Inkster: Thanks Peter. Eagle performed well in the second quarter. The slight change in mind sequencing to recover secondary stopes and single pass rather than infections has modestly reduced to plan nickel grade for the second half of this year. On this, we have lowered the top end in the nickel production guidance range to 14,000 tonnes from 15,000. Copper production guidance remains unchanged. Similarly nickel C1 cash cost guidance has been increased, given the reduced nickel production guidance and a lower copper byproduct price assumption. Aggregate site operating costs remain in line with expectations and per tonne mill unit costs, including transportation costs are expected to remain similar to previous levels of 150 to 155 per tonne mill. Development of Eagle East continues to progress well ahead of the original schedule and under budget. Silo declined into the ore body and vertical raise development for the event circuit progressed well during the quarter. The main booster fans were installed and commissioned. First ore feed to the mill is scheduled for the fourth quarter of 2019, with approximately $13 million remaining to be spent to complete the project. At Zinkgruvan, zinc and lead production were higher than the second quarter last year on planned higher grades and following focused efforts to improve dilution or loss experienced in the first half of 2018. On the exploration front, Dalby remains our highest exploration priority for zinc driven and the focus of the 2019 program as we aim to expand and upgrade the mineral resource estimate. Nearly 18,000 meters were drilled in the second quarter with six surfaces and three underground rig. We expect to drill 65,000 meters of zinc driven this year having completed over 30,000 in the first half as part of a $20 million exploration program at the asset. We are very excited to have completed the acquisition of the Chapada copper gold mine earlier this month. The integration of Chapada has progressed very positively and we are excited for the future potential of this operation. With our quarterly results, we have provided production, cash cost, CapEx and exploration guidance for Chapada. For the second half of 2019, we expect copper production of between 27,000 tonnes and 30,000 tonnes at a cash cost of $1.10 net of the precious metals byproduct. The gold byproduct credit assumption is based on production of 50 to 55,000 ounces over the same period and assumes a 1250 per ounce gold price. Chapada cash costs are calculated on a byproduct basis and do not include the effect of the copper stream arrangements. Effects of the copper stream agreements will be reflected in copper revenue and will impact our realized revenue per pound. Additionally, we are guiding for 25 million of sustaining capital expenditures and four million of expense to exploration investment. As we continue with the integration of Chapada, we look next to include its mineral resource and reserve estimate in our June 30 annual update, which we publish in mid-August to early September and we also aim to issue a technical report in October of this year likely to be based on the current facilities and capacity. On slide 13, our total capital expenditures excluding capitalized interest are forecast to be $695 million $50 million lower than the previous guidance. As outlined, project costs review of that has confirmed lower spending requirements in 2019 as costs are deferred in 2020. The revised capital expenditure guidance includes second half capital spending for the Chapada mine. 2018 and 2019 are expected to be high watermark capital investment years and reduced significantly following the completion of the Candelaria initiatives, the zinc expansion project and Eagle East. Our exploration expenditures remain unchanged at 70 million, of which 4 million has been reallocated to Chapada for the second half. Turning to Slide 14, from our current assets we have an excellent growing production profile. This is further enhanced with the acquisition of Chapada. The investments we are making now have set us up for multiple years of production growth decreasing cash cost and free cash flow generation starting later this year and accelerating through early next year. Annual copper production is expected to increase nearly 50% in 2020 over that of 2018, and approximate 300,000 tonnes of copper starting next year. A 55% increase in total zinc production is forecast by 2021 over that of 2018 as the zinc expansion project is commissioned next year and fully ramped up doubling the zinc production from Neves-Corvo. And lastly, nickel production is set to increase starting in the fourth quarter of this year as the higher grade at Eagle East are bought online. Before opening the line for questions, I would like to reiterate that Lundin Mining is set for a particularly strong second half of this year and in coming years. The integration of Chapada has progressed very positively, and we are excited for the future potential of this operation and for all of Lundin’s operations. Operator, I would like to open the lines for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Orest Wowkodaw of Scotiabank. Your line is open.
Orest Wowkodaw: Hi, good morning. I wanted to get a more color on the VP update. Obviously pretty disappointing and it looks like now the capital cost is increased by about 40% from the original capital at the time of sanctioning. I'm just curious you know of that 40% increase, are you able to quantify sort of how much of this has to do with execution versus say maybe under estimating capital for facilities and equipment and that kind of stuff? And I'm also wondering if there was a knock on impact to the zinc production guidance in 2021? Thank you.
Marie Inkster: Okay. I guess for the first part, yes. We were aware of the increases, and we've looked at the increases over time and the trending it's pretty much a combination of both the productivity of the contractors and some probably not exact estimates of costs going forward in the program at the beginning when it was approved. So in terms of the increases, say for example at the beginning, we had surface works of €74 million which is now €111 million. So on a €257 million which is where we started, it was €74 and the increase is now to €111. You know underground similarly €118 at the beginning, now it's €157. So the owners, same thing if you look at indirect and overheads, €31 now it's €64, so we see an increase across the board, so it's pretty even. And a lot of it is to do with the first of all in the underground the productivity rates at the beginning were not good. It took us quite a while to get that under control, that's under control now, with the new underground manager that we assigned to earlier in the year and the restructure of the program to have it report to the underground mine manager for the coordination and also we did bring in third party consultant to help us improve the productivity of the contractors and focus particularly on the contractor productivity. On the surface, it was first starting out that the underground was the critical path. The surface is now the critical path. That's a little bit different. Those are -- the main reason for the delays there are to do with the surface engineering progression and contractors probably mobilized to you know in part a little too early and there's a lot of engineering holds, which affects the productivity and things happen slower. So all of these things are things that we've been addressing. So the underground, which was critical path, was our focus. The surface is now the critical path and we're putting the effort into the surface. We've replaced quite a bit of the personnel. We've brought in product manager from our operation in Candelaria to manage the surface construction, who is experienced in operating a project within and within an operating mill. So we are making active changes. We want the productivity to change, so we're changing the things that can affect the productivity. Peter, I don't know if you have anything to add there, is a bit more paper both on that. And then, the second part of that question, sorry Orest, can you remind me of the interest…
Orest Wowkodaw: Yes, you've cut year 2020 zinc guidance at Neves. Is there a knock on impact on 21?
Marie Inkster: We're looking at the lives of mines right now. We're actually doing our first pass of life of mine. I mean it's going to push out the production, but we expect 2021 to be at full levels of production. So there shouldn't be any reduction in 2021. And we're looking at ways to optimize. I mean, we recognize that we've had some value loss here and I know some of the analysts have taken quite a bit of a haircut in the -- in the target prices not as much as we would think that this would warrant. But we're sorry. They've taken more than we think this would warrant. But we realize, we've lost value of $0.10 to $0.15 per share on this, and we'll be doing all we can to get that value back. So that's our objective.
Orest Wowkodaw: Okay. Thank you so much.
Operator: Your next question comes from Ralph Profiti with Eight Capital. Your line is on.
Ralph Profiti: Thanks for taking my question. I do want to address another ZEP question because it's a very comprehensive review. How much is due to revisiting things like underground congestion working faces and development, and how much is due with the availability of the surface facilities? I'm trying to get a sense of underground versus surface challenges in the new guidance.
Marie Inkster: The guidance has a lot to do with the surface in the ramp up. The underground, regardless of whether the conveyor ramps would be commissioning we could have done some development and actually assessed enough ore from the upper levels to feed it, it would just would have been at a lower rate. So it's not the underground, that's the critical path it is the surface facilities and the guidance is primarily impacted by the staged, the stage plan that we have for the commissioning. So in terms of commissioning, we planned -- the original plan was to basically have everything ready and turn it on and start going, which we feel has a lot of risk. So what we've done is, redesign to reduce the risk by allowing more time on each of the aspects so that a high level strategy is commissioned, then you SAG in Q1 and start commissioning with waste, introduce ore and operate that one at existing levels in Q2, while we convert the rod mill over to the bottom ball mill, and then we would operate at a slightly higher rate using both mills in Q3 and then commission up the floats also. Peter, I think that's correct.
Peter Richardson: Yes, that’s correct. Phase approach.
Marie Inkster: And then by Q4, we should be at full capacity and going forward in 2021.
Ralph Profiti: The frame of reference for operating cost per tonne is some of the previous technical reports but also how the project has been trending on this new guidance, how should we think about operating cost per tons on a unit basis when we think about ZEP?
Marie Inkster: I don't believe there should be any change in that. It's you know, right now are the thing that's pushing the costs up is Labor. We have a lot of the materials have already been purchased. The big ticket items have been purchased. The major ramp development has been done and it's labor. We have a lot of contractors. We have what Peter 800 bodies on site right now. And the longer it takes to complete each of the aspects, the more it will cost because we're on time and materials now.
Ralph Profiti: Thanks, Marie.
Operator: Your next question comes from Jackie Przybylowski of BMO Capital Markets. Your line is open.
Jackie Przybylowski: Thanks very much. I had a question on the operating costs. They were a little higher than then I guess what I had expected across several of the operations and I just wanted to ask you how many of these costs are going to be maybe persistent going forward. I know, I know you've changed the guidance for Eagle, but maybe for example at Candelaria, you did talk about a higher power in diesel costs for example, would something like that be persistent going forward?
Marie Inkster: Yes. So in each of -- in each in the mines we're actually trending on it. If you look at our growth cost as opposed to the cost per unit we're trending on, on target. And where we would have expected to be. So in Candelaria with the diesel you know and the other costs, it's a bit of a tradeoff, because normally you would see that buried in a contractor, so as we use more of our own fleet, in order to do production knowledge and stripping and things like that, we are using diesel. But it's a tradeoff, because our contractor costs are going down. So when you compare quarter-over-quarter we would see a higher diesel cost, but we don't see the reflection of the reduction because it's a lesser component in the total contractor cost. I don't know if that's clear or not, but we're on track with where we are, where we were expecting to be. And it's just basically the unit costs are high, because of the lower production levels and the cost per ton mills, because we had the maintenance, major down stop, this quarter last year it was in the first quarter, so when you look at last year's quarter compared to this year, you would see a big increase this year, because it wasn't in this quarter last year, it was in the first quarter. So comparatively we're on track. The costs will be trending down on a per unit basis as our production comes up in the second half. At Eagle same thing, we increased the cash costs there. That was the only place where we didn’t increase the unit cash cost, but much of that was related to the tightening of the guidance. So if you look at the midrange of the guidance and just use that as a denominator instead of the previous midrange, you're going to have a different increased cash cost. I think that was about 30 to 40 pounds of that and on the byproduct we originally had estimated 280 as a byproduct credit for copper and when we read around the numbers this quarter, we used 270, so that has an impact as well.
Jackie Przybylowski: Okay. That's clear. Thanks Marie. And one other question maybe just a change changed subject on Chapada. Recognize that you've put out some guidance and I'm expecting that most of this guidance is based on the Yamana previous mine plan and you did mention that the tech report's probably going to be based more on the current facilities in the plan as well. Can you give us a little bit more of a sense now that, now that you're the owner of the asset when we could see sort of a first glance at Lundin’s plan for Chapada?
Marie Inkster: Well, we've we have had an initial look at their mine plan based on you know that the previous plan was. I know Peter you've already been down there looking at mine plans and looking at optimizing human…
Peter Richardson: Yes, we're evaluating. They've given us the first pass of the remainder of this year, and we've asked them to re-visit some of the plants. We're on our way down in a couple of weeks again to revisit that. And also not looking more in detail in their proposed expansion plants for further evaluation. But we're going to need some time before we can put a Lundin stamp on our plan going forward.
Jackie Przybylowski: Okay. That's it for me. Thanks so much.
Operator: [Operator Instructions] The next question comes from Oscar Cabrera of CIBC. Your line is open.
Oscar Cabrera: Thanks operator and good morning everyone. If I may -- getting back to the zinc expansion project in Neves-Corvo, the contingency it's about 50% percent of the CapEx increase. Could you just perhaps provide some color on why that is? What are you looking at? And is there a potential for or you know another CapEx over run here if Labor is the problem.
Marie Inkster: Yes. So the current contingency is 15% and the remaining spend. And the reason for that is that you know where I see the risk to this project is in the surface engineering and materials particularly the Electrical and instrumentation. So our field’s execution we have to improve the productivity, much of the contingency why it's still 15% at this stage of the project is because of the trending we've had. We've had not good trending over time, and we put in our -- we've got action plans to address all of that. But we did a detailed review both with our internal finance area, Jinhee, your team has reviewed all of the work of the local finance team, plus we had a third party come in and do a bottom up estimate. And independent, you know the two, the independent plus our internal estimates came to the same numbers within what $3 million Jinhee. So we're fairly confident that we have a good reliable number here. And our objective is to not have any further creep in this, but those where I see the risks, and that's the reason for the 15% contingency at this stage.
Oscar Cabrera: Okay. And that’s helpful, Marie. Thank you. And then if I may on Chapada, after the acquisition of Candelaria, I think it was -- it was clear to everyone that had been looking at the project before that, the opportunity within that asset was the underground consolidation as well as middle expansion. Now that the transaction which Chapada has closed, what do you think are the opportunities for the asset. Is it on the exploration side, pushing production forward like, can you talk about that?
Marie Inkster: Yes. I think it's all of those things, Oscar. We have a lot of exploration potential there. We're pretty excited our exploration VP was on the ground on day one, and excited to meet with their exploration team and had some really good meetings about how we could put some additional funds into exploration, and where the primary targets might be first off. So we have a lot of targets there, and the challenge will be to prioritize them, you know and so we'll do a lot of work there and we really do see Candelaria as a blueprint and doing the same thing there that we will not have, probably no one answer after say six months or a year here's the new answer, but it will evolve over time and with a continuous improvement mentality. So one of the things that we need to do is study what's been done we had during our diligence some work on the engineering for the expansion plans. We need to step back, take a hard look at that and what really with an unconstrained balance sheet, and within a new look, what that might look like. So there are many opportunities here I think to improve, and Peter, you even saw some near-term things that we could do in order to improve the mine plan without doing anything.
Peter Richardson: We're looking at you know revise short term mine plan as you said Marie, see and if we -- if we can cut down on our stripping and low grade ore mining. But in the long run, we're reviewing the expansions, our exploration start with exploration see what we have on the ground, what more options are out there, and then also the different expansion studies that Yamana did prior to our acquisition. So we're reviewing all those things, all those things. The next meeting is a couple weeks down in Brazil; by I'd agree with Marie, there's a lot of opportunities.
Oscar Cabrera: Now thanks very much for the call. If I may just may have ask one more, the CapEx that you provided, would it be fair to assume that on a yearly basis, we can prorate what you provided for this year or following years?
Marie Inkster: It will vary and we'll put out new numbers in the technical report. So look for that in October.
Oscar Cabrera: Okay, thanks very much Marie.
Operator: Your next question comes from Lawson Winder of Bank of America Merrill Lynch. Your line is open.
Lawson Winder: Hi guys. I just wanted to ask a few questions on Candelaria, basically to try and help frame the second half of the year and two two main points that I wanted to look at. It was one, it looked like in Q2 the depreciation was up a fair bit on a unit basis, and maybe some guidance on that for the second half to be helpful. And then, and then also in Q1 we spoke about maintenance in Q2, and I think at the time you said there was a chance some of that maintenance would be in Q3. So looking into Q3, can we expect some additional downtime as a result of maintenance at Candelaria? Thanks.
Marie Inkster: Sure. So on the first part of the question, the depreciation. A lot of this has to do with the Capitalized stripping and Jinhee you looked at this particular during our analysis of the quarter, and do you want to address the stripping, and maybe give some color as to what they can expect going forward?
Jinhee Magie: Sure, Marie. So in Q2, we did see higher depreciation because we started to mine the phase 10 ore. And so I would say in Q2, we saw about -- I would say approximately $60 million of increase due to the phase 10 amortization of deferred stripping. Going forward, for the remainder of the year, we would expect that to increase. And again, because we will be increasing one from phase 10, I would say overall for the year, we're approximating about $100 million I believe to the amortization of Phase 10.
Marie Inkster: Yes, and then on this second part of the question, was the maintenance that Q2 was a big maintenance quarter. Not just the Candelaria but also at Neves-Corvo we had, I think eight down in the shaft and we also had a shaft down in zinc and then so -- Q2 was probably the quarter where we did our big maintenance stops. I know we had a small stop in August checking out Candelaria, but that shouldn't affect the throughput for the quarter. Peter any?
Peter Richardson: No. And we are -- we monitor this continuously and then try to push maintenance as far as we can. It also depends on hardness of the ore, and how abrasive it is --- how that affects all our mill owners, but we did have a lot of maintenance as you said Marie in Q2, early Q2.
Lawson Winder: Yes. It's just -- sorry just to follow up on both those questions, the one on the maintenance. I mean is that you referred to in on the Q1 call that's done at Candelaria. I just wanted to be clear on that?
Marie Inkster: Yes, yes. Our major maintenance stop is done for Candelaria for the year. You can see it and we did a quarter-over-quarter look at the throughput. The last year it was in Q1, and this year it's in Q2. So you would have seen quite a reduction compared to the other three quarters in the one quarter that we have the major stop. So we don't expect any other major runs.
Lawson Winder: Okay. And then Jinhee, just in terms of the depreciation going forward. I know, you don't provide guidance on that, but if we just use sort of the per unit of copper sales that we saw in Q2 for Q3 and Q4. I mean is that is that reasonable?
Jinhee Magie: I would say it's going to be a little bit higher, because in Q2 we only had I guess part of that quarter, producing for Phase 10, whereas for Q3 and Q4 we'll have the full quarters producing from Phase 10, so I would say it's going to be higher in the Q3 and Q4 than you saw in Q2.
Lawson Winder: Okay. Great. Thank you. Very helpful.
Marie Inkster: Okay. Well we'll keep one more question. Operator.
Operator: Your next question comes from Orest Wowkodaw of Scotia Bank. Your line is open.
Orest Wowkodaw: Hi, thanks for taking the follow up. I'm just wondering with the increase in capital at this EP and the deferral of some of the capital timing to 2020, from 2019, does that change at all your thinking on capital allocation with respect to potentially pursuing a project to add to the portfolio or perhaps increase in capital returns to shareholders. I noticed, you did buy a little bit of shares back in the quarter, but just curious if we could expect that to accelerate now that Chapada is closed, or whether you're going to take a pretty cautious approach on share buybacks? Thank you.
Marie Inkster: We will continue to look at the buyback and go into the market opportunistically when we see opportunities. I wouldn't expect it to be a huge part of the capital allocation strategy in the next couple of months. We're still watching the copper price as well. And we've actually you know we're $0.30 or 10% below our long term price for copper is just $3 that we run everything on. So we're taking a bit of a cautious approach, until we see where trade war ends up. There is a very bullish case for copper. We also see people coming out with bearish case for copper, and maybe talking book. But we think there is a very bullish case for copper, so we'll continue to look for copper project or asset to acquire, it takes some time. We've continued to look for opportunities that can create value. And if we find the right opportunity we are prepared and able to go for that opportunity. So we continue to look at all aspects of the capital allocation.
Orest Wowkodaw: Okay. Thank you.
Marie Inkster: Great. Thanks everyone. And you know to reiterate, we are very well-positioned for a strong second half of the year. No, not the best quarter that we've had in our history, but you know according to our plans, we are on track to meet our guidance and within 1% of the original copper guidance that we had at the beginning of the year for the company and trying low on cost. So we just continued to work hard on all of our products, and she'll our next update as the next quarter, and hopefully be able to report you some good results.
Operator: This concludes today's conference call. You may now disconnect.